Operator: Welcome, and thank you for standing by. At this time all participants are in a listen-only mode. (Operator Instructions). Today's conference is being recorded. And at this time I will turn the call over to Mr. Matthew Stroud. You may begin, sir.
Matthew Stroud: Thank you, Shirley. Good morning, everyone. With me today are Clarence Otis, Darden's Chairman and CEO; Gene Lee, Darden's President and COO; and Brad Richmond, Darden's CFO. We welcome those of you joining us by telephone or the Internet. During the course of this conference call, Darden Restaurants' officers and employees may make forward-looking statements concerning the company's expectations, goals or objectives. Forward-looking statements are made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Any forward-looking statements speak only as of the date on which such statements are made, and we undertake no obligation to update such statements to reflect events or circumstances arising after such date. We wish to caution investors not to place undue reliance on any such forward-looking statements. By their nature forward-looking statements involve risks and uncertainties that could cause actual results to materially differ from those anticipated in the statements. The most significant of these uncertainties are described in Darden's Form 10-K, Form 10-Q and Form 8-K reports, including all amendments to those reports. These risks and uncertainties include; the ability to achieve the strategic plan to enhance shareholder value, including the separation of Red Lobster; the high costs in connection with the spin-off, which may not be recouped if the spin-off is not consummated; actions of Investors and the cost of disruption of responding to those actions; food safety and food-borne illness concerns; litigation; unfavorable publicity; risks relating to public policy changes and federal, state and local regulation of our business, including health care reform, labor and insurance costs; technology failures; failure to execute a business continuity plan following a disaster; health concerns, including virus outbreaks; intense competition; failure to drive sales growth; failure to successfully integrate the Yard House business, and the additional indebtedness incurred to finance the Yard House acquisition; our plans to expand our smaller brands, Bahama Breeze, Seasons 52 and Eddie V's; a lack of suitable new restaurant locations; higher than anticipated costs to open, close, relocate or remodel restaurants; a failure to execute innovative marketing tactics and increased advertising and marketing costs; a failure to develop and recruit effective leaders; a failure to address cost pressures, shortages or interruptions in the delivery of food and other products; adverse weather conditions and natural disasters; volatility in the market value of derivatives; economic factors specific to the restaurant industry and general macroeconomic factors, including unemployment and interest rates; disruptions in the financial markets; risks of doing business with franchisees and vendors in foreign markets; failure to protect our service marks or other intellectual property; impairment in the carrying value of our goodwill or other intangible assets; a failure of our internal controls over financial reporting or changes in accounting standards; an inability or failure to manage the accelerated impact of social media; and other factors and uncertainties discussed from time to time in reports filed by Darden with the Securities and Exchange Commission. A copy of our press release announcing our earnings, the Form 8-K used to furnish the release to the Securities and Exchange Commission and any other financial and statistical information about the period covered in the conference call, including any information required by Regulation G, is available under the heading Investor Relations on our website at darden.com. We plan to release fiscal 2014 fourth quarter earnings and same-restaurant sales for fiscal March, April and May 2014 on Friday, June 20, 2014, before the market opens with a conference call shortly after. We released third quarter earnings results this morning. These results were available on PR Newswire and other wire services. We'll review the P&L for the third quarter, discuss our financial outlook for fiscal 2014, and then we will take your questions until approximately 9:30 Eastern Time. With that, let the turn it over to Brad.
C. Bradford Richmond: Thank you, Matthew and good morning everyone. Our third quarter earnings were in-line with our expectations, excluding the impact of the more severe winter weather and the legal, financial advisory and other costs related to implementation of the strategic plan we announced in December of 2013. Together these unusual items totaled approximately $0.13 in earnings per share. We estimate that the severe winter weather adversely affected earnings by approximately $0.07 and that legal, financial advisory and other costs associated with the strategic plan adversely affected earnings by approximately $0.06. Now focusing more specifically on the results for the quarter, Darden's total sales from continuing operations decreased 1.1% to $2.23 billion. On a blended same restaurant sales basis the results for Red Lobster, Olive Garden and LongHorn Steakhouse declined 5.6% in the quarter, with strength at LongHorn Steakhouse offset by weakness at Olive Garden and Red Lobster. Same restaurant sales also declined 0.7% in our Specialty Restaurant Group. Now looking at the larger brands individually, U.S. same-restaurant sales increased 0.3% at LongHorn Steakhouse and declined 5.4% at Olive Garden and 8.8% at Red Lobster. These results include the adverse effect of the more severe winter weather which was approximately 160 basis points and the adverse effect of the shift in Thanksgiving holiday week which was worth approximately 100 basis points. Excluding these impacts same restaurant sales for the third quarter would have been, up approximately 2.9% at LongHorn Steakhouse, down approximately 2.8% at Olive Garden, down approximately 6.2% at Red Lobster and up approximately 1.9% at the Specialty Restaurant Group. Food and beverage expenses for the third quarter were approximately 40 basis points higher than the last year on a percentage of sales basis. Then favorability was driven by higher shrimp and land based protein cost. Giving the pending separation of Red Lobster I will call out their results on each line item. From a food and beverage perspective Red Lobster's expenses for the third quarter were approximately 110 basis points higher than last year on a percentage of sales basis due primarily to very significant shrimp inflation. Restaurant labor expenses were approximately 10 basis points higher than last year for the third quarter on a percentage of sales basis. On this line we achieved productivity gains in most of the brands and combined with favorable Group insurance and unemployment taxes that mostly offset the effects of wage rate inflation and sales deleveraging. At Red Lobster restaurant labor expenses for the third quarter were approximately 100 basis points higher than last year on a percentage of sales basis due to sales deleverage, wage rate inflation and some decrease in productivity. Restaurant expenses for the quarter were approximately 80 basis points higher than last year on a percentage of sales basis because of sales deleverage. At Red Lobster restaurant expenses for the third quarter were approximately 140 basis points higher than last year on a percentage of sales basis due to sales deleverage and increases in worker's compensation and public liability cost. Selling, general and administrative expenses were approximately 50 basis points higher than last year on a percentage of sales basis due entirely to cost associated with the implementation of the strategic plan. More specifically these costs which include legal, accounting and financial advisory fees, retention bonuses for Red Lobster managers and various other fees totaled over $13 million this quarter. At Red Lobster selling, general and administrative expenses for the quarter were approximately 120 basis points lower than last year on a percentage of sales basis due to our decision to reduce spending in December and January from what were elevated levels. Depreciation and amortization expenses in the quarter were approximately 40 basis points higher on a percentage of sales basis compared to last year because of the increase in new units and the remodel program at Red Lobster. Separately Red Lobster depreciation and amortization expenses for the quarter were approximately 90 basis points higher than last year on a percentage of sales basis due to the remodel. Our tax rate this quarter was 10% and was approximately 13 percentage points lower than the prior year primarily driven by lower earnings and because of tax benefits associate with one of the company's employee benefits plans. We now estimate our annual effective rate will be approximately 14%, which is about 700 basis points lower than last year's annual effective tax rate. This annual effective tax rate will of course vary from quarter-to-quarter. In the third quarter total operating profit margin declined by approximately 220 basis points compared to the prior year. Excluding Red Lobster and the cost associated with implementation of our strategic plan, operating profits would be 120 basis points better. As we previously announced we are on track to realize $60 million of annual cost savings by the end of fiscal 2015 as a result of the actions we announced in September. In the third quarter we realized $2 million of cost savings from these actions and we should realize a similar amount in the fourth quarter. For fiscal 2014 we are on track for approximately $28 million in gross savings that are offset by $11 million in upfront implementation cost for a net savings of approximately $17 million. In addition which we said previously with the Red Lobster's separation we are looking for additional cost savings opportunities and we retained Alvarez & Marsal to help with this effort and with identifying new revenue enhancement opportunities. Now turning to our commodity cost outlook; we have approximately 74% of our total food spend contracted to the end of this fiscal year, a little less coverage than typical for us at this point in the cycle because we believe the premiums for future contracts are simply too great given where we expect prices to be in the cash market as we look forward. Food inflation in the third quarter was approximately 3.1% with shrimp inflation in the 35% range and land-based protein inflation in the mid-single digit range. Shrimp inflation is expected to stay at this level in the fourth quarter because of production issues in Asia. We see signs of progress emerging but we don't anticipate relief on shrimp prices until early fiscal 2015. The fiscal year 2014 our current expectation is that our commodity basket will see net inflation in the range of 2.5% to 3% which is about 40 basis points higher than we expected when we began the year, again driven primarily by even higher shrimp and moderating but still higher beef cost. Now category by category on the year-over-year basis through the fourth quarter fiscal 2014 shrimp cost are higher with 100% of our usage covered, beef costs are slightly higher with 75% of our usage covered, poultry costs are slightly higher with 40% of our usage covered, wheat costs are lower with 60% of our usage covered, dairy costs are slightly higher with 75% of our usage covered and our energy costs are expected to be slightly unfavorable on a year-over-year basis. We have contracted the majority of our natural gas and electricity usage in the deregulated markets in which we operate through the fiscal fourth quarter of this year. Looking ahead fiscal 2015 we have approximately 25% our total food spend contracted to the end of the second fiscal quarter. Our outlook for food inflation at Darden, excluding Red Lobster is approximately 1% to 2%. We anticipate that most of the food inflation will come from proteins, particularly beef and seafood. We expect some favorability for chicken and wheat related products. We expected diluted net earnings per share for fiscal 2014 to decline between 15% and 20% compared to fiscal 2013. This reflects our projection that combined U.S. same restaurant sales growth for Red Lobster, Olive Garden and Long-Horn Steakhouse this fiscal year will be minus 2.5% to 3%. This is below the minus 1% to minus 2% we anticipated previously with a change in expectations due largely to meaningful downward adjustment and the forecast of same restaurant sales results at Red Lobster. Current earnings expectations for the year also reflect the opening of approximately 70 net new restaurants and the net impact of the September support expense reduction efforts as well as the legal finance advisory and other cost incurred in the second quarter in connection with our strategic review and related actions. Earnings forecast for fiscal 2014 does not include costs we have incurred in the third quarter or are likely to incur in the fourth quarter in connection with the separation of Red Lobster and other strategic actions announced in December. And now I’ll turn it over to Gene for some comments.
Eugene Lee: Thanks Brad. I’ll start this morning with a few comments about our third quarter sales, specifically about choices we made in December that affected Olive Garden and Red Lobster and then I will provide a high level update on the brands. On absolute basis December is always a very strong month for both brands. In the planning process this year however we did make some very important adjustments to our promotion and advertising plans for the month. Last year both Olive Garden and Red Lobster featured discounted price point of promotions during December, which was a departure from our prior practice. This year we decided not to use this kind of price point promotions during this high volume period. Instead our advertising focused on the core equities of each brand, and in restaurant we emphasized the core menu. We also reduced our media spending during this time period so Olive Garden was only on air three out of the five weeks this year versus four out of the five weeks last year and Red Lobster reduced the total rating points they purchased by 20%. Additionally we decreased the number of incentives in circulation compared to last year. These significant changes in marketing tactics were made to return us to more sustainable and healthy management of our business. Beyond that, as we have been communicating the Olive Garden team is executing a brand renaissance plan. The plan includes a focus on a holistic core menu and promotional plans designed to deliver superior value, choice of variety and convenience. We implemented the most comprehensive menu change in the brand’s history on February 24, the first day of our fiscal fourth quarter. Execution of the new menu continues to improve every day and we’re encouraged with the initial guest feedback we’re receiving. Another component of the plan is to re-image our non-Tuscan farmhouse restaurants. The first remodel is on track to be completed by the end of April and the second is starting soon. Red Lobster had a challenging quarter with sales impacted by weather, the reduced media waves, our promotional decisions and guest confusion that resulted from inaccurate press reports around the announcement of the separation. We are pleased however that guest satisfaction recovered to best-ever levels during the quarter, and sales trends improved as the quarter progressed, especially once Lobster Fest began. This year's Lobster Fest has more new items than in prior years and has been very well received. LongHorn Steakhouse's same restaurant sale exceeded the industry benchmark for the fourth consecutive quarter. The team is focused on offering compelling promotions, supplemented by additional menu items in the Chef Showcase Selection. The operations team continued to improve results in two important focus areas; big [inaudible] correctly and server attendance, resulting in meaningful improvement in guest satisfaction scores. LongHorn continues to benefit from multi-pronged brand refresh they began several years ago, that is similar in many respects to Olive Garden brand's renaissance plan, which strengthened the operation foundation, added superior value, choice and variety and convenience and updated the atmosphere to remain in sync with rising guest expectations. The Capital Grille continues to have strong sales momentum and we’ll open five new restaurants this fiscal year, four of which have already opened. This focus remains on creating exceptional dining experiences, through innovative coronary offerings and personalized service. The Yard House integration is behind us. The team is focused on regaining same-restaurant sale momentum, mastering the new systems implemented and opening new restaurants. We recently opened a 22,000 square foot restaurant in Las Vegas in the new Linq entertainment district, adjacent to the 550 foot tall High Roller, the world’s largest observation tower. This will be a flagship restaurant and create a lot of exposure for the brand. We’ll open a total of eight restaurants this year. Same restaurant sales at a few restaurants have been inconsistent at Seasons 52 over the last year. That should improve as we slow new restaurant growth from a percentage of the base perspective. This will enable us to ensure we have strong management at each restaurant that can consistently execute our culinary service standards at a high level. During our recent growth period we have experimented with different types and sizes of buildings and now know which site characteristics make for the most successful Seasons 52. We have opened a few seasons in central business districts and in malls that don’t permit us to show full branding. And some of these restaurants are performing well below system average. We will be focusing our future developments on the upscale suburban trade areas where the brand excels. Bahama Breeze same-restaurant sales continue to exceed the industry benchmark. This sales strength has been driven by the significant changes we have made in the menu over the last two years and the very effective happy hour programs we implemented last year. Additionally in restaurant execution has meaningfully improved. Eddie V's continues to perform well and the two new restaurants we have opened are performing above our expectations. Now I'll turn it over to Clarence.
Clarence Otis, Jr.: Good morning everyone and we do welcome this opportunity to speak with you and take your questions, but before turning to questions, I'd like to briefly address the consent solicitations underway to call a special meeting of Darden shareholders to consider a non-binding resolution prior to our annual meeting. Our Board is strongly committed to engagement. We value the views of our shareholders and as many of you know, we've had a robust investor relations efforts since becoming a public company nearly 19 years ago. We've consistently spent and we'll continue to spend an extensive amount of time talking directly with our shareholders and with the investment community. In terms of our more recent business circumstances and potential path forward we appreciate the input we've received and these insights are reflected in the plans that we have announced. Given the significance of the initiatives underway at Darden, we believe it's important that we continue engaging with our shareholders directly and individually so that we receive input in a productive and nuanced manner. With respect to the consent solicitations shareholders should make their own determination. Given our extensive ongoing discussions with shareholders and the substantial value we have gleaned from those conversations we believe that shareholder should continue to engage directly with the company and should not view a special meeting as a substitute for that ongoing two way engagement. We look forward to continue to speak with our shareholders and with the investment community. And with that operator, we'll take some questions.
Operator: Thank you. At this time we are ready to begin the question-and-answer session. (Operator Instructions). And we'll take our first question comes from David Palmer with RBC. You may ask your question.
David Palmer - RBC Capital Markets, LLC: Thanks, thanks guys. First really two part question, one on media weight. Could you just talk about what your strategy is there with media? There was a reduction in both brands, I believe you said that in the comments, particularly on Olive Garden, why that might be, perhaps you're saving that for the push behind this new menu and then that brings me to the second question how is that going? That new menu is a big event for that brand and obviously visibility on that would be helpful? Thanks.
Clarence Otis, Jr.: Good morning, David. On the media weight on Olive Garden, first part of it was just the way the holiday schedule fell and so we always have a hiatus week after Thanksgiving and so that fell in to Q4 -- to Q3 this year instead of second quarter and we've always taken a hiatus week the week after Christmas. And so that really wasn't a huge departure on Olive Garden. On Red Lobster it was a conscious decision to pull back the total rating points by 20% as we -- that spending just got a little too high in that time period. We are also trying to balance that very busy time that allows -- that we're -- we want to make sure that we are not over incenting -- putting too many incentives out, that displace guests who are willing to pay for our full price experience with guests who are using some sort of incentive to come in. So that was a big part of the decision. The second part of your question, new menu, new menu is doing well, as I said in the comments, it was a big change and so execution was what we thought it was going to be as we introduced it. We have been very pleased with how quickly our operations teams have picked up this new menu and we're seeing guest comments or complaints drops very, very quickly and actually getting -- receiving a lot of positive comments here over the last few days.
David Palmer - RBC Capital Markets, LLC: Thank you.
Operator: Thank you. Our next question comes from Keith Siegner with UBS. You may ask your question.
Keith Siegner - UBS: Thank you very much. Gene, just some questions on Red Lobster considering that the shareholders do currently own it, if it was spun they would still own it and even if it was sold there would be some efforts to try to ascertain what the appropriate value was. I appreciate the resetting of the media weights and maybe some additions to the Lobster Fest menu but could you talk just little bit more about maybe some other efforts that are in place to help address those three months of double digit traffic decline. Thanks.
Clarence Otis, Jr.: Again I’ll start and I’ll let Gene comment but I do think we do want to make sure that we have the right level of media, and so we feel like it had drifted up too far over time and we need to bring that back and we also feel like we need to have the right balance between discount offers and non-discount offers, and we think we've gotten out of balance in terms of having a few too many discounts because an important part of the Red Lobster brand is for a lot of guests it is a special occasion experience and we want to make sure that we continue to deliver on that and we aren’t pushing those guests out with too much of a focus on the discounting side. And so we think that’s getting the brand back to where it needs to be in terms of really what current users look to Red Lobster for. And the other thing that the team is focused on really mirrors a little bit of what Dave -- George talked about at Olive Garden which is making sure that the foundation, so the in restaurant operating execution is stronger and we have seen some plateauing there, in a couple of different dimensions, some stepping back and so some intensified focus there. Gene?
Eugene Lee: The only thing I would add is that we thought that the promotion that we ran in December was going to be more effective than what it was. It tested very well and we were focusing on superior sea food. It really resonated with the consumers in test and then when we put it in market it did not perform at the level we thought it was going to perform at. So we did believe the plan that was in place was going to work better and we had a quantitative feedback from some testing that led us to believe that. It just didn't work out the way we thought it would.
Keith Siegner - UBS: Thanks.
Operator: Thank you. Our next question comes from Joe Buckley with Bank of America. You may ask your question.
Joseph Buckley – Bank of America/Merrill Lynch: Hey, thank you. Two questions as well. First on the Olive Garden new menu, this is not mentioned on this call but I guess, when we spoke last week, is the new version of that planned for as early as May?
Clarence Otis, Jr.: I think we’ll probably have a menu change in May, which is very -- it is normal for us and that the adjustments will be more operational than menu change. There will be copy change, things that will help us execute better but there will be no significant change to the offerings at all. There maybe one or two products that aren’t working the way we thought they would work and we may choose to remove those but the change will be more stylistic than anything else.
Joseph Buckley – Bank of America/Merrill Lynch: Okay and then a question on Red Lobster, you are obviously lowering the same-store sales focus for the year and the performance is disappointing so far. How is this working to your personal evaluation of a standalone Red Lobster that you perceive with this spend?
Clarence Otis, Jr.: I’ll start and then I’ll Brad comment further. We are not going to -- we don't think it’s useful to get into some real detailed level of specificity given that we are engaged in an active sale process. But what we would say is that we think we have been appropriately conservative as we forecast out next year and the year after for Red Lobster, that accounts for current business trends and it also accounts for the level of effort that we think it’s going to take to stabilize sales.
C. Bradford Richmond : Joe, Brad here. The thing I would add is that there's been a conscious effort to reduce the amount of price point features and promotions there and while we have dialed back a little bit our top line expectations in terms of our earnings expectations they really haven’t changed that much, other than obviously the severe winter weather impact, but as we look for the fiscal year for that brand that’s stayed fairly stable.
Clarence Otis, Jr.: The only other thing I would add is that and Brad can put some dimension to this but as we look out -- as we look today we recognize that this year from a cash flow perspective Red Lobster's results have been depressed by this fairly significant spike in shrimp cost as a result of some of the issues, production issues in Asia, Brad talked about a 35% inflation in the third quarter. And so we do see that coming back the other way eventually and we've accounted for it coming back the other way, as Brad said sort of not in this quarter and there may still be some pressure in the first quarter of '15 but following that.
C. Bradford Richmond: Yeah on shrimp cost in particular, it's on annual basis for the Red Lobster brand it's approaching $30 million on year-over-year increase and as Clarence said it's going to be elevated for the rest of this fiscal year although we've seen the early indicators that we are looking for that the situation is improving. But we probably won't see cost relief on that until early in our new fiscal year, fiscal '15.
Operator: Thank you. Our next question comes from Sara Senatore with Sanford Bernstein. You may ask your question.
Sara Senatore - Sanford C Bernstein & Co LLC: Yes, thank you very much. I wanted to ask a question about some of the information that was discussed in Form-10, which has basically allowed us to look at the business ex-Red Lobster. And I guess I had a question about that in the sense that we saw fairly most of Darden's margin compression has come from Red Lobster but it's happened elsewhere too and I can see it looks like there is probably some mix going on in the food and beverage line but for comps that, with the exception of may be the last couple of quarters for Olive Garden, but for comps where ex-Red Lobster there have been ex -- sort of modestly negative to up depending on the brand, it's still seems like there's been lot of margin pressure over time. And I was hoping you could just comment on to what extent that's been mixed from these new brands and to what extent any of that is addressable, because again it does looks like the sales alone wouldn't necessarily dictate that.
Clarence Otis, Jr.: I would just -- a couple of thoughts, one and then Brad can follow on. I mean clearly some of the sales deleverage at Olive Garden put some downward pressure. In addition to that we do have some fairly meaningful new unit expansion costs. And those costs, given the plans that we outlined to bring the unit expansion down by at least half are going to come out. But that is significant. It flows through a number of lines as we prepare management teams, managers and training all those sorts of things. And we are also in addition to those adjustments on the new unit side as we talked about before really adjusting our support cost to reflect the lower sales base.
C. Bradford Richmond: And I guess the piece to add to that or clearly the same thing is that what the new unit growth premium is a fairly significant headwind. As you pointed out with Lobster, if you look even just at the most recent quarter its impact on Darden and obviously the strategic plan related costs are fairly significant. You take those out, it's a 120 basis points better than it is. I think the other piece to add is some of our growth brands, obviously contribute to some of the headwind because of the growth premium we talked about as well as some of the SRG brands where there is a lot more lease facilities, you got that full rent cost above the line that's in there and so on EBIT you see that but if you go all the way down to on EAT basis and real cash flow we make that up there because you don’t have those additional financing costs.
Clarence Otis, Jr.: Then the final piece I would add is just as you look back over the last four years we've clearly invested in the LongHorn marketing function and in the SRG marketing platform. We've done that to improve the brand positioning and brand evolution capabilities to improve their go-to-market capabilities. And those investments are completed so we would expect going forward to begin to leverage those investments. And then the last piece is that we've also invested in Lobster aquaculture. And from an operating expense perspective, that’s embedded there, it's not insignificant, and I don’t know Brad if you want to talk about the size of that investment but…?
C. Bradford Richmond: Yeah, on a year-over-year basis it's in the $12 million range of additional expense that we have there for a very promising opportunity that we have there, but it does obviously have costs that precede the benefit that we are going to derive from that.
Clarence Otis, Jr.: And we do think it's something that creates significant value and that value as a go-forward, as we think about it and whether it makes sense to continue, that value will best be realized as we get closer to full scale commercialization.
Sara Senatore - Sanford C Bernstein & Co LLC: Thank you.
Operator: Thank you. Our next question comes from Jeffrey Bernstein with Barclays. You may ask your question.
Jeffrey Bernstein - Barclays Capital: Great, thank you very much. Two questions as well, first specific to Olive Garden and the new menu, seems like that’s your biggest opportunity to turnaround the core business, obviously ex-Red Lobster. It does seem like maybe it's in terms of more of a permanent reset of price value, and I know there a lot of value in that Cucina Mia and the small plates, just wondering how you think about the impact on that in terms of whether it be comp margin or ultimate brand possibility, as you now kind of reset down on the value side of things, and then I have a follow up.
Eugene Lee: Jeff, this is Gene. I think that we’ve gone both ways, we’ve provided every day value with Cucina Mia and we’ve done some other things at lunch that we think provide great value there. But we’ve also gone all the way through the menu and we’ve added price points at $14, $15 all the way to $18.99. And so as we look at it today, with the mix that we’re seeing, we’re not seeing a lot of margin compression with this menu. We’re seeing the consumer that we would hope would trade up to the [Fole] and the [Semolina Risoto] and dishes like that, that’s happening and we’re getting a good mix on that every day value but it's pretty much what we thought it was going to be at this point in time. And I think we’ve done a pretty good job managing the margins. That mix could continue to change overtime, but right now it's playing out pretty much like we thought it would.
C. Bradford Richmond: Jeff, Brad here, I would just add to that and you’re pretty familiar with how we talked about our P&L through restaurant earnings line and even at the gross margin lines. There is very little contraction in that margin in the quarter even as we look forward here. I think there is the opportunity as we move forward with the strategy to gain some of the traffic back to where Olive Garden has typically been and the leveraging that is in that model could actually provide margins that are well above what we’ve been in the past couple of years. So we’re not giving much up with the guest we have today for that opportunity to bring more guests in to the future as we increase the appeal and the breath of their offerings.
Jeffrey Bernstein - Barclays Capital: Understood and then just a follow-up I think you mentioned in your prepared remarks there I guess $60 million annually in terms of cost savings starting in fiscal ’15, wanted -- just wanted to see and that, I believe that obviously then includes some of Red Lobster savings just wondering if you could breakout that $60 million ex the Red Lobster if the spin or sales is successful. And do you see any optimism or further opportunity beyond that, I know you are embarking on that benchmarking study, where there any learnings there or where you might see some opportunity maybe where you’re spending more than few years, or maybe that’s just a distortion in the way you’re reporting it, the mix look like that and it's not actually the case?
C. Bradford Richmond: Yeah let me start out and Clarence can add on. We talked about the $60 million that has been a Darden number, we’re well on that path. That has largely been support services that Darden provides to the restaurants and the brands. So we would expect as we move forward to be pretty close to that $60 million but even as you mentioned, as we look forward and as a part of the separation, we see this as a great opportunity to reassess, reevaluate our support platform, starting there first, that I would expect as we continue to learn more and we’re bringing in strong outside expertise to help us look at it differently than we have, that there is no reason that we shouldn’t be at or above that $60 million on a support level basis. So, all those cost savings are coming at the G&A level and will also branch out in to the other areas. So I feel pretty comfortable that, that number is what it is and we'll probably continue to grow even on a Darden basis ex the Red Lobster piece.
Clarence Otis, Jr.: And I would just add that as we look at reported G&A we feel like we are in-line with competitors. The challenge of course with that number is that there is no industry convention regarding where some important cost items are included. So for example we include the cost of multi-unit operations leadership in G&A expense, some include that in restaurant level expenses. We also include certain food safety cost and G&A expense and some folks include that again in restaurant level expenses. And so we felt it's very important to get someone like Alvarez & Marsal who has broad experience in the restaurant business to help us understand how we stack up, better understand how we stack up vis-à-vis competitors, when you look through all of those mismatches. And they are working with us on that. We think as we do that work we'll identify further opportunity. And we're also working with them to see are there cost reduction opportunities, four wall, sort of more direct operating cost opportunities beyond support cost.
C. Bradford Richmond: I think one thing we're tapping into their experiences and expertize is on the revenue side as well, have a different perspective or fresh look at that. We'll get into that soon. We haven't started that part of the work yet but we look at that as a further opportunity for us as well.
Operator: Thank you. Our next question comes from Greg Hassler with Bank of America. You may ask your question.
Greg Hassler - Bank of America/Merrill Lynch: Hi, good morning. A question I want to ask, there has been a lot of talk about the debt breakage cost, that you would incur if you were to go down the path that some of your shareholders have proposed. Can you highlight just sort of what specifically you are seeing in your bond and your debt covenants that would require you to make all the capital structure?
Clarence Otis, Jr.: We think it's fairly clear in there that to the degree that we would need to pay off those bonds, there are certain provisions that those costs that we would have to incur. So we're fairly certain that those are there and those are obligations that we would need to fulfill.
Greg Hassler - Bank of America/Merrill Lynch: Okay. And that's the language in the covenants you think, is it sort of all that substantially all or is it something else in the covenants?
Clarence Otis, Jr.: It's pretty clear in our view if we have to refinance those, those are make-whole provisions that get those bond holders may hold given where those bonds trade relative to the current market.
Operator: Thank you. Our next question comes from John Glass with Morgan Stanley. You may ask your question.
John Glass - Morgan Stanley: Thanks very much. I wanted to ask what the cost savings that you are experiencing in Olive Garden right now. I think you said $19 million on an annualized basis, so that's 15 basis points I think if my math is correct. What do you think the total opportunity there is, is that a multiple of that, may be could you discuss the timing of that and I assume that is outside the $60 million. So it's $60 million plus whatever you achieve at Olive Garden. And could you also just talk about is that going to be gross savings, that you're going to talk about where we have to reinvest that money later on so we don’t actually see it or it one we actually see in the P&L.
C. Bradford Richmond: John as we described effort, Phase 1 was the $19 million in operating savings that we achieved. And we're entering in to Phase 2 and we haven't really scoped what the total opportunity is in Phase 2. We do think there is an opportunity. However we are working with A&M to allow us to, we want to make sure we get their perspective on what the opportunity might be also. But we have not quantified this opportunity. We think there is opportunity there. But as you go into the second round of Phase 2 it won't be as easy as Phase 1 unless A&M comes up with something that we've just missed.
Clarence Otis, Jr.: And I would say it is incremental to the $60 million that Brad was describing.
John Glass - Morgan Stanley: Okay and it is not the kind of stuff you need to reinvest in say pricing or incremental marketing. You believe these are actually going to stay as visible margin gains?
C. Bradford Richmond: I think this is actually net of some of the re-investment we've made. So we have re-invested some of the cost saves that we have got out of simplification effort. And the $19 is net of that.
Operator: Thank you. Our next question comes from Matt DiFrisco with Buckingham Research. You may ask your question.
Matthew DiFrisco - Buckingham Research: Thank you. I just also want to follow up on that, and then I had a question. With respect to the savings, you keep saying support services. Is that clear then that there is no marketing when you talk about the 20 basis points shifting out, 20 rating points shifting out? Was that incorporated at all in the savings?
C. Bradford Richmond: Yeah, in that $60 million, a portion of that is -- it's all within SG&A. A portion of that is within the marketing area, where we have made some investments in the past that didn't deliver sufficient returns that we want to keep that. And so the marketing portion will come down some and we highlight some of those. There is a little bit of pull back that we've done in the third quarter. But on a profitability basis I don't believe it had a meaningful impact to us.
Matthew DiFrisco - Buckingham Research: So I guess, did you clarify when you were breaking out the Red Lobster, I appreciate that you were doing the COGS, labor, operating spend. Did you also break out Red Lobster as far as leverage on the G&A side? Was that also delevered or did you have an offset where you levered because there were some cost savings.
C. Bradford Richmond: Well for Red Lobster in this particular quarter their SG&A was actually better, I believe it's around the 100-120 basis points than the prior year. A portion of that was G&A savings within the brand, things that they had been working on. But a portion of that was the reduced marketing support, particularly in the December-January time frame. And so it did lead to a portion of our same restaurant sales decline. We had anticipated that but when we look at the cost of the media to attract those sales everything fell within our earnings expectations that we had going into the quarter.
Matthew Stroud: Shirley, that's all the time we have this morning for Q&A. We'd like to thank everybody for joining us on the call. We certainly are here to take your call if you have additional questions and we look forward to seeing many of you as we are out on the road visiting with our shareholders and others in the investment community. Thank you very much for joining us today and we will speak with you again in June.
Operator: Thank you. This does conclude today's conference. If you would like to listen to a replay of today's call you may dial 866-400-9642 or 203-369-0547. Again those numbers are 866-400-9642 or 203-369-0547. Thank you and you may disconnect your lines at this time.